Operator: Good morning. Welcome to EnWave Corporation's First Quarter 2025 Earnings Conference Call. My name is Robert, and I'll be your operator for today's call. Joining us for today's presentation are the company's President and CEO, Brent Charleton; and Dylan Murray, EnWave, CFO. As a reminder, all participants are on a listen-only mode and the conference is being recorded. After the presentation, there will be an opportunity to ask questions. [Operator Instructions] Finally, I'd like to remind everyone that this call will be made available for replay via a link in the Investor Relations section of the company's website at www.enwave.net. Now, I'd like to turn the call over to your host, EnWave CEO, Mr. Brent Charleton.
Brent Charleton: Thanks again to everyone who has joined us today for EnWave's Q1 fiscal 2025 quarterly conference call. The information we will present today contains forward-looking information that is based on our management's expectations, estimates and projections. Our statements are not a guarantee of future performance and involve a number of risks, uncertainties and assumptions. Please consider the risk factors in the filings made by EnWave on SEDAR when reviewing this information. Also, all amounts discussed will be in Canadian dollars, unless otherwise noted. EnWave's first quarter fiscal 2025 yielded several positive developments, including the continued improvement of third-party royalties paid to the company, which was $559,000 for the quarter, up $80,000 year-over-year. We had an increased number of REVworx tolling contracts, which we have continued throughout Q2, and we signed two new license agreements, one with ELEA Technology of Germany and the other with CNTA, a research and development center located in Spain. Since the purchase of 10-kilowatt unit and ELEA's leasing a 10-kilowatt unit. Further, our gross margin remained strong at 29%, and our G&A expenses remained consistent. Lastly, we secured a credit facility with Desjardins Group. The amount available to us under the facility is calculated at the lesser of $5 million and a function of royalties, receivables and inventory. This facility was secured to remain flexible with our growth plans. Dylan will summarize the details of this financial tool later during this call. We also continue to build a 120-kilowatt large-scale Radiant Energy Vacuum, a REV machine on spec during the quarter, expecting to consummate a transaction to sell this unit in the near term. Given we recognize revenue regarding large-scale REV machine sales on a percentage completion basis, we will immediately record a large sum of revenue once the transaction is finalized, and the majority of our revenue in Q1 came from royalties and tolling revenue rather than machine sales revenue. Following the end of Q1 and to the date of this call, EnWave also signed five additional agreements, including three license amendments, a 10-kilowatt equipment sale and a new Technology Evaluation and License Option Agreement. The three license amendments broaden the scope of certain product exclusivities granted to BranchOut Food of Peru, Sprouted Proteins of Peru, and Patatas Fritas of Spain. Each of the amendments include increased minimum annual royalty payments to be submitted to EnWave on a go-forward basis. Sprouted Proteins also purchased a 10-kilowatt REV machine and signed a lease to use a second 10-kilowatt unit for their commercialization. The new technology evaluation agreement was signed with Solve Solutions of Brazil for the development and potential commercialization of several high-quality fruit and vegetable applications, both ingredient and snack. We expect the license to be negotiated with Solve Solutions within this fiscal year. In regard to our sales and marketing effort in Q1, our expanding team held numerous meetings qualifying many new leases for our pipeline. And I'm happy to report that we've hired two additional team members in the past quarter, one being a new Senior Sales Manager based in Europe who will begin in early April. We successfully attended four trade shows in the quarter, including Supply Side West in Vegas, Gulfood in Dubai, Atia in Singapore, and we also participated in the Federal Government trade mission to Indonesia and the Philippines. I'm confident that these efforts will lead to new licenses and REV Machine sales this fiscal year and beyond. Furthermore, we recently returned from another Federal Government trade mission into Australia and are scheduled to attend the upcoming National Products Expo West next week in L.A. and the Petfood Forum in April. Last conference call, I stated that we have several imminent large-scale REV Machine purchase order decisions. Now, all of those projects are still in play for fiscal 2025, and we feel positive momentum building. Our REVworx business, which is our toll drying operation, was much busier in the second half of fiscal year 2024 and continued through Q1 and now into Q2. We have been toll drying, primarily a healthy snack product line for a major better-for-you brand in North America, and these volumes projected by this new REVworx customer, simply put are massive, and we believe there is an opportunity to receive consistent tolling contracts for the foreseeable future. I hope to be able to share more details regarding this emerging opportunity very soon. Royalties are growing, our margins remain strong, and our cash position is around $4 million, and we secured that credit facility with Desjardins for our growth plans. Our sales pipeline is very full and REVworx is reaching its potential. We now need to confirm several of our large-scale REV machine sales opportunities. These material transactions will significantly affect our quarterly performance going forward, and we are all very aware of their importance. And with my summarized update complete, I'll now ask Dylan to summarize EnWave's detailed quarterly financial performance.
Dylan Murray: Thanks, Brent. Good morning, everyone, and thank you for joining us today. Please note that the figures I'll be discussing can be found in our press release from yesterday and in the financial statements and MD&A filed on SEDAR, and all amounts are in Canadian dollars unless otherwise noted. I will make reference to adjusted EBITDA, which is a non-IFRS financial measure, so please refer to the non-IFRS financial measure disclosures and reconciliation to GAAP net income, both in the press release and in our MD&A. Also, please note that the comparative period I'll refer to throughout this presentation is the prior year Q1 ended December 31, 2023. Revenues for Q1 were $1.2 million compared to $1.3 million in Q1 2024, a decrease of $0.1 million or 7%. The decrease was primarily related to reduced equipment construction contract revenue for the period, offset by an increase in royalties and tolling revenue. Third-party royalty revenue was $559,000 in Q1 2025, compared to $480,000 in the comparative period, an increase of $79,000 or 16%. And royalties grew due to increased royalty partners, product sales, partner production and exclusivity payments for the quarter. As our royalty partners grow their businesses and increased capacity utilization of installed REV equipment, further REV installations will follow from new sales contracts and material royalty growth should continue in the coming quarters. Additionally, the recent license amendments announcements with BranchOut Foods, Patatas Fritas and Sprouted Proteins increases the minimum exclusivity royalties to EnWave in calendar 2025. Gross margin for the company in Q1 2025 was 29% compared to 18% in the comparative period. The increase in margin, a result of higher royalties and tolling revenue for the quarter. SG&A expenses, including R&D, were $1.3 million for Q1 2025 and for the comparative period. There was an increase in sales and marketing activities, primarily related to trade show attendance and EnWave's investment in driving new sales leads, offset by the capitalization of term loan and credit facility issuance costs. The company will continue to further invest in sales and marketing activities in the coming quarters. And recently, and as Brent mentioned, the company hired another business development manager, [indiscernible] in the Netherlands, who starts work in April. Adjusted EBITDA is a non-IFRS financial measure, so please refer to our MD&A for the reconciliation from GAAP net income to adjusted EBITDA. The company reported an adjusted EBITDA loss of $624,000 for Q1 2025 compared to an adjusted EBITDA loss of $756,000 for Q1 2024, an improvement of $132,000 over the comparative period. The increase in adjusted EBITDA was primarily driven by increased royalties and tolling revenue. And we finished Q1 2025 with cash and cash equivalents of $4 million and a net working capital surplus of $6.8 million as at December 31. And during the quarter, EnWave entered into a credit facility with Desjardins for growth and working capital purposes. The amount available to the company under the credit facility is calculated as a lesser of $5 million and a function of royalties, receivables and inventory. And as the date of our quarterly filings, approximately $1.9 million is available to the company at a rate of Canadian prime plus 1.5%. Additionally, EnWave signed a term loan with Desjardins for $500,000 with an amortization period of 48 months. The term loan is to be repaid monthly on equal and consecutive payments of principal plus interest at a grade of Canadian prime plus 2%. And this nondilutive debt in addition to the company's available working capital will be used to fund EnWave's growth strategy and for general working capital purposes. In anticipation of a large-scale machine order from an existing partner, the company started the manufacturing of a large-scale machine during the quarter. As of December 31, the manufacturing of this large-scale machine was approximately 45% complete, and this contributed to the increase in inventory for the period from $2.7 million on September 30 to $2.8 million on December 31. And this machine is expected to be substantially completed by the end of this upcoming quarter.
Brent Charleton: Thanks very much, Dylan. I'd now like to open the call for your questions. Operator, please provide the appropriate instructions.
Operator: Thank you. At this time we will be conducting a question-and-answer session. [Operator Instructions] Our first question comes from Donangelo Volpe with Beacon Securities. Please proceed with your question.
Donangelo Volpe: Hey, good morning, guys. Just looking for some additional color on the potential impact of tariffs, especially with the partners out of the United States.
Brent Charleton: Thanks for the question, Donangelo. So potential tariffs would not directly impact the imminent potential machine sales that we have within our pipeline. Primarily, they are two companies domiciled outside of the United States. What may be impactful to our royalty partners globally are their ownability to import snacks and ingredients into the U.S. to their end customers, which that is TBD, obviously, given the breadth geographically that the U.S. will or potentially not implement future tariffs.
Donangelo Volpe: Okay. Thank you. And then just moving over, I know we discussed, I guess, the 120-kilowatt machine is about 40% completed. Just out of curiosity, how many 120-kilowatt machines are currently available in inventory, just in case we kind of do see the ramp-up in sales activity, how many are ready to go?
Brent Charleton: So currently, the one under construction would be the only machine available for immediate deployment. As soon as we consummate the sale of this machine, which we expect in the very near term, we will begin the construction of another machine immediately given that we have a strong pipeline and the expectation is to sell several of these large-scale units within this fiscal year.
Donangelo Volpe: Okay. Great. Thanks for answering my question. I’ll hop back in the queue.
Operator: [Operator Instructions] We have reached the end of the question-and-answer session. I'd now like to turn the call over to Brent Charleton, CEO, for closing remarks.
Brent Charleton: Thanks, Rob. And before I do close off the call, there were two questions submitted on the webcast platform, and I'll address those two. First question was, is there an update on the vaccine front? Yes, I'll say that the continued collaboration with GEA continues. As many shareholders will recall, they purchased a lab-scale unit from EnWave to showcase their technologies merits to their very, very broad customer base in the pharmaceutical industry. Those collaborations and testing continue. We've received positive results with a few of these projects and hope to share some of those details later this fiscal year. We also have a third-party pharmaceutical co-manufacturer domiciled in the United States, which is working on a direct project with a large pharmaceutical company and helping themselves to confirm this project, which could prospectively lead to another sale of a pilot scale pharmaceutical grade unit, sometime this year. The second question, it's very simple. When do you expect EnWave to breakeven? And certainly, this fiscal year, we hope to be in a breakeven position or better. It varies quarter-to-quarter. We can have a significantly profitable quarter if we consummate multiple large-scale sales during that time period or not like we saw here in Q1. So this can quickly turn around and produce profitability within the next couple of months here based on the opportunities that are presented to us to close. I’m seeing no other questions submitted on the webcast platform. I'd like to thank everybody for joining us and encourage you, again, to follow up directly with Dylan or myself if you do have questions about the business in the coming days. Thanks so much.
Operator: Thank you for joining us today for EnWave's Q1 2025 earnings conference call. At this time, you may now disconnect.